Operator: Thank you for standing by. My name is Danika, and I will be your conference operator today. At this time, I would like to welcome everyone to the Triple Flag Precious Metals Q1 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to the CEO, Sheldon Vanderkooy. Please go ahead.
Sheldon Vanderkooy: Thank you, Danika. Good morning, everyone, and thank you for joining us to discuss Triple Flag's first quarter of 2025 results. Today, I am joined by our Chief Financial Officer, Eban Bari, and our Chief Operating Officer, James Dendle. Triple Flag achieved strong GEOs and record financial results to start the year. Sales of nearly 29,000 GEOs resulted in record EBITDA of $71 million during the first quarter of 2025 with record operating cash flow of $66 million. This strong performance has positioned us well to not only achieve our 2025 GEO guidance of 105,000 to 115,000 ounces which demonstrates our ability to directly realize higher cash flows in a rising gold and silver price environment. To further grow our business, Triple Flag has also maintained a solid pace of acquisitions over the last four months, including our proposed acquisition of Orogen Royalties. This transaction, announced on April 22, will result in Triple Flag owning a 1% NSR royalty on the Expanded Silicon gold project in Nevada. Expanded Silicon is a top tier gold asset located in a premier jurisdiction that is operated by one of the world's most successful producers, AngloGold Ashanti. The asset has a track record of rapid growth and has unparalleled exploration potential. We look forward to the completion of this transaction in the third quarter of this year. Earlier in March, we were pleased to announce the tuck-in acquisition of 5% silver and gold streams on the Arcata and Azuca mines in Peru for $35 million. The returns generated by this transaction are exceptionally robust and our regular development updates with the operator management team are positive. Arcata is on-track to deliver first production in the near term. Turning to our Cornerstone asset, Northparkes continued to deliver record results during the quarter, driven by the processing of higher-grade open pit ore. As expected, mining of these pits is now depleted and we continue to expect the processing of the stockpiled ore through 2025. Looking further ahead, the next stage of high-grade gold ore from Northparkes is also advancing to production. Access to the first sub level at E48 is now substantially complete and commissioning is expected in the second half of 2025. Finally, we are proud to highlight our top industry ranking by Morningstar Sustainalytics, which we achieved during the first quarter. This ranking is a testament to the commitment of our team and mining partners to ESG. I'll now turn it over to Eban to discuss our financials for the first quarter of 2025.
Eban Bari: Thank you, Sheldon. Business delivered strong volumes amidst the backdrop of record precious metals prices as well as continuing strong margins. The single most important metric we focus on is operating cash flow per share, which has increased by 74% year-over-year. We view our progressively growing dividend as a core part of our capital allocation strategy. Our dividend has been maintained at $0.21 on an annualized basis. I'm proud that we have increased our dividend every year since our IPO and will continue to assess the potential for further increases going forward. We also remained active on our share buybacks during the first quarter, buying back approximately 490,000 shares in the open market at a price of CAD23.55. Opportunistic share buybacks remain a core part of our shareholder return strategy. Lastly, I'd like to comment on our balance sheet. We exited the quarter with zero debt, a clean balance sheet, robust operating cash flows, and liquidity available under our credit facility of $1 billion gives us the capital to continue to deploy dollars into accretive opportunities to drive future growth for the business benefit of shareholders. Moving ahead, we continue to highlight three key aspects of our investment thesis. Namely top-tier assets, precious metals focus and a portfolio which is predominantly centered in Australia and the Americas. As Sheldon noted earlier, Northparkes had a great quarter due to higher open pick rates, representing a significant portion of our revenue for the period. Our overall revenue is derived 100% from precious metals, which is roughly three quarters from gold. This pure-play exposure ranks amongst the highest in the sector to precious metals and offers investors exposure to many favorable tailwinds for both gold and silver. Finally, our portfolio is predominantly located in mining-friendly jurisdictions, a key criteria as we look to expand our portfolio through acquisition. I will now turn it over to James to discuss Expanded Silicon gold project.
James Dendle: Thank you, Eban. As Sheldon highlighted earlier, we are pleased to announce the acquisition of Orogen Royalties a few weeks ago, which resulted in Triple Flag retaining a 1% NSR royalty on the Expanded Silicon gold project, a Tier 1 asset. All of the other assets and liabilities of the existing Orogen Corporation will be spun into a new and separate company upon close. On the slide, you'll see a picture taken as part of the asset site visits conducted during our due diligence, which shows the core of AngloGold's BD complex, a key focus of their future growth plans. We're excited to add a royalty on one of North America's largest new gold discoveries to our portfolio, which has 1% rate for the full life-of-mine and covers the entirety of the silicon and milling deposits as well as the known extensions. It has no step-downs, buy downs or caps. The project is contemplated as a straightforward heap leach and milling operation, processing upside material and AngloGold expects to release pre-feasibility study within the next 12 months. Expanded Silicon is one of North America's largest new gold discoveries, which AngloGold Ashanti has grown rapidly from first drilling in 2018 into 16 million ounces of total resource today. We see strong potential for this resource to continue growing in the near-term from infill and resource upgrade drilling within the Merlin mineralization footprint as well as areas to the north, west and east of Merlin and the northwest of Silicon. Based on our site visits and AngloGold's disclosures, there are numerous drawers that are active on the property. Definition drilling and high-level of site activity speaks to AngloGold's focus on developing a long-term operation rather than simply demonstrating district exploration optionality. It is important to note that, within the current outline for Merlin, there are significant intercepts that we have interpreted to not be included in the resource estimate due to drill hole spacing. This includes an assay of 1.3 gram material over 236 meters. We look forward to seeing the results of the recent drill programs in due course. Expanded Silicon is clearly a very large and well-endowed system. It will grow and develop over a long period of time. Put this in context, this slide highlights the evolution of the expanded silicon resources against Goldstrike and Cortez, two of the most prolific mining districts in Nevada. You can see the growth trajectory at Expanded Silicon parallel to these districts. Notably, the 16 million ounce resource already exceeds both Goldstrike and Cortez at the time they began to report meaningful production in 1987 and 1995 for Barrick respectively. Each of these districts have ultimately delineated over 50 million ounces of resources cumulatively and are still going strong as core pieces of Nevada Gold Mines operations. We strongly believe Expanded Silicon will continue to grow and has the potential to arrive for some of the largest gold assets in Nevada and the largest epithermal gold deposits globally. Triple Flag has delivered a consistent track record of GEO growth since inception. Beyond the guidance we have set for 2025, we see further growth to 135,000 to 145,000 GEOs in 2029. With the addition of Expanded Silicon, we now see strong potential for this pace of growth to continue well beyond 2029. Silicon will join Kone and Hope Bay as well as other projects that will drive growth in the long term. I'll now pass back to Sheldon to conclude the formal part of the presentation.
Sheldon Vanderkooy: Thank you, James. We've had a strong start to 2025 and are well-positioned to achieve our 2025 guidance. We saw robust growth in operating cash flow per share and delivered transactions that will benefit our shareholders for decades to come. The model is working well. The record gold prices are translating into record cash flows as they should. We are deploying those cash flows into a growing dividend for shareholders and we reinvest in high-quality assets such as Silicon to grow the portfolio. We are debt-free and have significant capacity to grow the portfolio going forward. Thank you very much.
Operator: [Operator Instructions] Your first question comes from the line of Derick Ma with TD Cowen. Please go ahead.
Derick Ma: Thank you very much. Where does share buyback sit within the capital allocation strategy, and what can shareholders expect in terms of share buybacks going forward?
Sheldon Vanderkooy: Yeah. Hi, Derick. This is Sheldon. I'll take that one. We've always been opportunistic on share buybacks. We generate very robust cash flows. And whenever we see an opportunity to take some shares out of the register, we look forward to that. We're pretty robust on the share buybacks in Q1 and really we just saw that the market gave us an opportunity to do so at very attractive prices. We're always balancing the pipeline versus the share buybacks. And of course, the other element of the capital returns is the dividend and we've been pretty clear and consistent since we've gone public that we increased the dividend annually. So it sits in with that, but we don't have any stated policy on the buybacks at lock us in.
Derick Ma: Got it. And in terms of Prieska, there's some verbiage there in terms of the conditions that Triple Flag would like to see and move forward that option. Has any of the thinking internally changed with the updated feasibility and what do you guys envision in terms of that asset?
Sheldon Vanderkooy: Yeah. I'll turn it over to James. I don't think anything has really changed, but we're quite excited about this project, but I'll turn it over to James.
James Dendle: No, Derick, nothing's really changed. The feasibility study was published a few weeks ago. We are working with the company to review that feasibility study. We have an existing 0.8% GR royalty, which we'd be very happy to hold. We will look at this as a fresh investment decision. So we'll be working through that over the balance of the back end of the year. The two conditions that you'll really probably recall, the first is that the study has to be completed to our satisfaction. So in other words, we agree it's executable and satisfies all of our requirements for that level of study. The second is the company has to be fully funded through to free cash flow essentially. So, the company is obviously working through those funding elements and we're progressing in parallel with those. So we expect to be able to say more later in the year or early next.
Derick Ma: Thank you. I'll pass it on to next. Thank you.
James Dendle: Thanks, Derick.
Operator: All right. Our next question comes from Brian MacArthur with Raymond James. Please go ahead.
Brian MacArthur: Hi. Good morning, and thank you for taking my question. It relates to the prepay with Steppe Gold. Can you just go through where we stand on that and whether you expect to get the remaining ounces on the prepay this year? Thank you.
Sheldon Vanderkooy: Yeah. Thanks, Brian. This is Sheldon. I'll answer that. It's absolutely clear that Steppe owes us the 1,650 ounces of gold. They've been using their cash flows to advance ATO Phase 2 and they repeatedly asked us for extensions in delivering those ounces. And eventually, we just said no more to the extensions and we are taking action to enforce payment. We do have a parent guarantee. And based on the public disclosure, Steppe Gold is performing very well and benefiting from the higher gold price. I really can't say much more given that this is in a legal action right now. But I do expect to get those ounces.
Brian MacArthur: Great. Thank you very much.
Operator: All right. That is all the questions we have for today. Thank you all for joining. That concludes today's call. You may now disconnect.